Operator: Good afternoon, and thank you for participating in today's Conference Call to discuss Ascent's Financial Results for the First Quarter ended March 31st, 2024. Joining us today are Ascent's Executive Chairman of the Board, Ben Rosenzweig, and CEO Bryan Kitchen, CFO Ryan Kavalauskas, and the company's Outside Investor Relations Advisor, Cody Cree. Following their remarks, we'll open the call for your questions. Before we go further, I would like to turn the call over to Cody Cree as he reads the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please proceed.
Cody Cree: Thanks, Olivia. Before we continue, I'd like to remind all participants that the discussion today may contain certain forward-looking statements pursuant to the safe harbor provisions of the federal securities laws. These statements are based on information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. Ascent advises all of those listening to this call to review the latest 10-Q and 10-K posted on its website for a summary of these risks and uncertainties. Ascent does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include non-GAAP measures. In accordance with Regulation G, the company has reconciled these amounts back to the closest GAAP-based measurement. Reconciliations can be found in the earnings press release issued earlier today and posted on the investor section of the company's website at ascentco.com. Please note that this call is available for replay via webcast link that's also posted on the investor section of the company's website. With that, I'd like to turn the call over to Ascent's Executive Chairman of the Board, Ben Rosenzweig. Ben, over to you.
Ben Rosenzweig: Thank you, Cody, and good afternoon, everyone. Demand challenges across both of our segments continue to persist during the first quarter, which drove overall weak consolidated financial performance. While it's not yet evident in our financial results, we're making progress in all of our near-term initiatives, which include cost savings, operational efficiencies, and product mix optimization. Bryan and Ryan have been working extremely hard to right the ship, and we remain on track to see improvements across our financial results in the back half of this year. We expect that we're only a few months away from results that are more representative of run rate performance for our existing asset base. Though we're hopeful of some near-term market recovery, we neither assume nor rely on that taking place for us to meet our internal plan. I'll let Bryan dive into the details on segment-specific initiatives, but I wanted to provide a brief recap of our plans for both segments. Within Tubular products, we're working tirelessly to replicate and implement strategies that we believe can positively impact results in the near-term. I'm pleased to report our operations at Bristol were fully restored after the unexpected downtime that significantly impacted our production capacity starting in Q3. While we saw a bit of improvement in Q1, the restored production capacity will begin flowing through more meaningfully in Q2 and going forward. Overall, I believe we're on the right path towards maximizing the value of this segment. In Specialty Chemicals, our top priority remains capitalizing on attractive long-term growth opportunities. We've made positive strides as we've begun to reconfigure our product mix towards branded product sales without the need for significant capital investment in the near-term. Bryan is executing towards a very specific vision for Ascent Chemicals, and it starts with breaking - breathing life back into some of the branded product offerings that we've had on the shelf the past few years, along with better utilizing the production resources we currently have in our toolbox. We remain confident in our belief that this segment can deliver more profitable and predictable revenue streams, resulting in better value for our shareholders over the long-term. Our capital priorities also remain unchanged. We've been repurchasing shares in the open market as much as possible and will continue to do so as long as our stock trades below our expectation of the company's intrinsic value. M&A continues to stay warm on the back burner while we maintain our internal operational focus for the near-term. As always, our Board continues to evaluate other actionable options to accelerate accretive capital deployment. We're moving in the right direction towards durable shareholder value creation. I know we've had setbacks throughout the last year, and we're working hard every day to restore credibility amongst our shareholders, but the optimism for our future throughout the organization is real. We remain debt-free, and I'm proud that we're able to show a significant year-over-year improvement in our liquidity as we continue to progress our working capital initiatives. That focus has created ample availability within our revolving credit facility that gives us optionality when the right opportunities to deploy capital present themselves. Overall, the entire organization is working tirelessly and cohesively to return a positive and growing EBITDA, and we're looking forward to delivering improved financial results in the very near future. Now I'd like to pass the call over to Bryan to provide details on our operations across both segments. I'll be available later on to answer any questions. Bryan, over to you.
Bryan Kitchen: Thanks, Ben, and thank you all for joining us this afternoon. We have been disciplined in our approach to stabilize the enterprise since our last discussion in March. Accountability and ownership are at the core of everything that we do. We've been laser-focused on reducing costs, optimizing mix, and managing cash, all while navigating ongoing demand headwinds across both segments. While we are far from seeing the full run rate impact of the improvements to date, we've delivered both sequential and year-on-year improvements in our bottom-line results from continuing operations. Momentum is building. Now let's first dive into the progress that we've made in the Tubular segment. Despite ongoing market headwinds, the team delivered both sequential and year-over-year bottom-line improvements. Although we were nowhere near an acceptable level of performance, we were moving in the right direction. I'm also pleased to report that we've safely moved past the unplanned downtime issue that we had at Bristol. As we strive to transition towards a more profitable and predictable business model, we have completed the critical assessment of our product mix. As a result, we've refined our organizational design and have optimized our labor cost appropriately. We expect our initial efforts related to product mix optimization to have a meaningful impact on our segment level adjusted EBITDA in the near future and will be at full run rate in the second half of 2024. Just as we've taken a data-driven approach to our product mix assessment, the same is true regarding the pipeline of cost reduction initiatives we're working on. First, we've made strong progress in reducing overhead across the segment as we've worked through a collaborative and aggressive reset on spending targets across our facilities. Weekly control plans have been established to drive accountability, improve visibility, and surface new opportunities for collaboration across the enterprise. To be clear, our focus has not been isolated to just continuing operations but the entire segment, inclusive of Munhall. As a result, we've identified a number of addressable stranded [ph] costs, costs that we immediately eliminated. We are leaving no stone unturned. It all matters. We've also accelerated strategic sourcing initiatives to drive meaningful improvements to our cost of goods sold. Based on the spend profile, raw materials are certainly at the top of the list, but I assure you, every category of spend is being touched. Furthermore, we are not simply focused in on how much we're paying for the goods and services, but we are also critically evaluating the underlying need to purchase anything at all, along with the timing. As we continue to build out our strategic planning functions, we expect to drive even further efficiencies, efficiencies that will yield accretive margin expansion. Our critical evaluation of spend is not only related to expense but capital as well. In fact, we've taken a decision to terminate nearly 22% of capital projects from the approved 2024 budget that, when scrutinized, did not meet our return threshold. These dollars will be reallocated to growth projects and or other needs based on clear return on investment hurdles. With daily improvements in our cost structure and signs of growing optimism across our end markets, we are confident that we are steering towards improved operating margins within the Tubular segment. Positive momentum is building within Tubular. Now let's turn over to Specialty Chemicals. As expected, we continue to experience challenges associated with inventory destocking and soft market demand in the first quarter. Green shoots are beginning to appear in some markets, but we are not relying on the markets to hand-deliver sustainable earnings growth. We remain laser-focused in on fixing our foundation with aggressive self-help. As outlined in our last call, we are actively working to shift our product mix towards branded product sales to mitigate demand variability and margin dilution associated with traditional custom manufacturing. Response has been strong, very strong. Prospective customers are latching onto our team in our domestic multi-site value proposition. Our demonstrated ability to innovate at the speed of our customers is one of our competitive advantages. To give you some color on that, one of our prospective customers expressed a need late March. Within one week, our team had developed several different product formulations with complex multi-step reactions. Samples were immediately shipped. Once received, our prospective customer tested those samples and later advised that one of our products had been qualified. Our technical competencies and our agility were on display, garnering the attention of all levels within their organization. We demonstrated the ability to innovate at the speed of our customers, solving a problem of enterprise importance. As a result of that, we have received a customer commitment for over £3 million, translating to over $6 million of revenue on an annualized basis. This was a tremendous win, but this is not the full breadth of the progress that we've made to date. We are only just getting started. In fact, we received our first orders from yet another customer, translating to roughly £2 million or $4 billion of revenue on an annualized basis. Momentum is building. We are encouraged by initial customer responses and continue to execute our plans to recapitalize SG&A resourcing. Most recently, we have hired a director of strategic marketing that will help sharpen our go-to-market strategy for branded product sales in partnership with our new world-class technical sales. I look forward to sharing additional success stories with you in the near future. Similar to the positive momentum we're building with new business development, we are also making strong progress in cost reduction. In spite of great work being done to optimize our costs, the full impact of these efforts were muted by soft demand. In fact, our strategic sourcing team delivered double-digit unit material cost reduction, and we have yet to see the full run rate of that impact of their ongoing efforts hit the P&L. Similar to Tubular, the Chemical segment has also been aggressively managing overhead spend by utilizing the same standardized approach to weekly spend management. To put aggressive into context, a few weeks ago I received a picture in my inbox from our site director in Virginia. In the picture, there must have been 100 valves organized and spread out on the floor. I admit my first reaction was one of concern, but as I read the note, I realized that our maintenance team gathered up all of our unused fittings from across the entire site, cleaned them up, and got them ready for redeployment into the field. The financial impact is the most tangible, but what is more encouraging to me is the ownership mindset and strong bias to eliminate waste. Momentum is building. Our employees have demonstrated incredible resilience and are beginning to lean into the required changes. We are certainly not where we want to be, but our actions are positioned against nicely for a recovery in the back half of the year. I remain highly optimistic about the future of Ascent and our ability to deliver predictable reliability and durable value for our shareholders, our customers, and our employees. I'd like to now turn it over to our CFO, Ryan Kavalauskas, to walk us through our first quarter financial results in more detail. Ryan, the floor is yours.
Ryan Kavalauskas: Thank you, Bryan, and good afternoon, everyone. Jumping right into the first quarter financial results. Net sales from continuing operations were $44.1 million compared to $54.9 million in the prior year period. This decline was primarily due to decreased end market demand and what we believe are the final effects of longstanding de-stocking trends across both segments. Gross profit from continuing operations increased to $2.5 million compared to $1.5 million in the first quarter of 2023, while gross margin increased 300 basis points to 5.7% compared to 2.7% in the prior year period. The increase was primarily a result of cost savings initiatives and improved strategic sourcing actions that resulted in raw material cost improvements. Net loss from continuing operations in the first quarter decreased to $4.1 million or $0.41 diluted loss per share compared to a net loss from continuing operations of $5.8 million or $0.58 diluted loss per share for the first quarter of 2023. The decrease in net loss was primarily attributable to the aforementioned increase in gross profit along with a decrease in year-over-year interest expense due to lower debt outstanding. Adjusted EBITDA in the first quarter improved to negative $3.1 million compared to negative $3.7 million in the same period last year, which was primarily driven by our broader cost optimization efforts. Adjusted EBITDA margin was negative 7.1% compared to negative 6.8% in the same period last year, primarily driven by the aforementioned lower net sales base. Lastly, looking at our liquidity position as of March 31st, 2024, we are pleased to have ended a second consecutive quarter with no outstanding debt under our revolving credit facility and access to $63.6 million in availability. The minimal debt you do see on our balance sheet is related to a financing portion of our insurance expense, which matured last month. During the first quarter of 2024, we repurchased a total of 16,330 shares for approximately $165,000 through our share repurchase program. With that, I'll now turn it back over to the operator for Q&A.
Operator: Thanks, sir. [Operator Instructions] Now our first question coming from the line of Vincent Anderson with Stifel. Your line is open.
Vincent Anderson: Yeah, thanks. Good evening, guys. I know we've beaten this one to death, I think, but, you know, I couldn't help but notice that the operating expense line in Chemicals through all the volatility of the last 2 years has been surprisingly stable. And I wonder if it's fair to interpret that as, you know, throughout all this, the team has done a really good job of hitting the mark on variable margins on a product-by-product basis. And so, everything we think about from here on with earnings improvement is really just down to fixed cost absorption and mix. Or do you feel like there's still more work to do on the variable margin side as well?
Bryan Kitchen: Hey, Vincent, it's Bryan. So, yeah, the way that we look at it is absolutely the more volume we put through the plant, that's fixed cost absorption. But I assure you, we're pulling on still even today levers to reduce our raw material inputs. We're pulling on levers to continue to reduce overhead expenses and the like. So, that work doesn't stop. We're not going to stop seeing the benefits anytime in the near future. In fact, you know, I think based on what we talked about earlier, we're not even seeing the full benefit of all of the improvements that we've implemented to date.
Vincent Anderson: Okay. That's good. And I know the Q [ph] just hit. I haven't had a chance to look at it. But if you could just comment briefly on what you saw in terms of price versus volume in each of the segments and how has price been tracking versus raw materials?
Bryan Kitchen: Yeah. So, from a Tubular standpoint, obviously price was depressed. You know, as we look out into Q2, we start to see that tick up a little bit. From a Chemical standpoint, there's a lot of volatility in there from a product mix standpoint. That's why I would caution you and others as you're looking at the data. As we move forward, as we implement some of the product mix changes, we're going to start to see our average selling price begin to tick up over time and have it be more rateable, more predictable.
Vincent Anderson: Okay. Excellent. And then, you know, inventory and dollar terms stabilized here in 1Q looks like you're running at around 120 days. So, just curious if that's kind of the target, if there's some timing considerations with that, or if you're still expecting to bring that down over the course of the year?
Bryan Kitchen: Yeah. Look, I think from a Chemical standpoint, we still see some opportunity to right-size the inventory levels. We also see some sizable opportunities in the Tubular sector as well. So, we're not done yet, right? From an inventory optimization standpoint, I would say that we're really just getting started.
Vincent Anderson: Okay. Excellent. And then, you know, on the Tubular side, maybe specifically, in just broad terms, you know, how do you feel customer relationships have been holding up with just the sheer amount of change the company has gone through from, you know, staffing standpoint, product portfolio optimization. Sounds like you've got another round of that coming. You know, has there been any burden on customer relationships, or is that something you've managed through pretty well?
Bryan Kitchen: Yeah. I mean, look, there certainly have been some churn, but what I would say is, you know, the vast majority of our customers have been with us for decades, and I believe that they will continue to be with us for decades. So, incredibly loyal. We're incredibly thankful for the customers that we do have, and we continue to grow that base.
Vincent Anderson: Right. Excellent. And then, just last one real quick, you know, not you specifically, but Ben, you know, used to comment on a representative run rate margin being somewhere in the double-digit EBITDA area, if not, you know, the goal of getting into the teens. When you talk about, you know, kind of starting to see that representative margin in the back half of the year, is that still the right level, or is that, you know, we're talking about maybe more of a transition period in the back half of the year, and that's still more of a long-term goal?
Ben Rosenzweig: Yeah. I think it's more of a transitionary period in the near term, but, you know, the two new pieces of business that I referenced earlier, they're squarely in that range.
Vincent Anderson: Excellent. All right. Well, thank you so much. That was everything from me.
Operator: Thank you. [Operator Instructions] And our next question, coming from the line of Charles Grosvenor [ph] with Truist. Your line is open.
Unidentified Analyst: Congratulations on showing some improvement. It sounds like things are getting better. I just have a comment about the share repurchase. Buying 275 shares a day, on average, indicates that you really don't want to buy back shares at a greater rate. I mean, I'm following lots of companies that do share repurchases, and I know Ascent is thinly traded, but if you wanted to buy two or three times that amount, it should be available in the marketplace. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Kitchen for any closing remarks.
Bryan Kitchen: Okay, great. Thank you. And ladies and gentlemen, this does conclude our today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and we look forward to reporting out our second quarter results.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.